Mahendra Negi: I would like to explain the Q4 summary most case. This is the fourth quarter summary. Net sales grew by 9%. Operating profit was minus 24%. Looking at this, it may not make sense to you. Why is the sales increasing, but the profit decreasing. If you go lower at the pre-GAAP level, sales number. This is a 19% growth on a Japanese yen basis, excluding the impact of exchange rate. So the growth rate is very high. 2011, we have started announcing the GAAP number, and this is the highest growth we have recorded so far since then. And the variable compensation is connected to pre-GAAP growth rate. And at the top, we have total operating expenses. This is increasing because of the pre-GAAP increase. Other than that, a weaker yen is a factor as well. The variable composition and the weaker yen are the factors behind these numbers. And as a result, we now have increased net sales but reduced operating income. Now looking at the forecast, well, we have a lending portfolio at the top gross revenue and operating income in the fourth quarter, we had slight decrease in operating income, but we are performing better than the forecast overall.  Moving on to the net sales by region. Excluding the exchange rate impact, EMEA is [indiscernible] out at the 2-digit double-digit growth. As I mentioned before, pre-GAAP and after accounting procedures, there is a gap. So I would like to look at the growth by region on a pre-GAAP basis later. And on the right-hand side, you can see the Latin American situation. [indiscernible] this is already integrated in North America. So -- on this slide, you can see that we are now disclosing net sales in 4 regions, not 5. I spoke about the impact of exchange rate. Here you can see that this was approximately JPY 2 billion impact on the sales due to weaker yen.  Now looking at segment-wise net sales, both consumer and enterprise are growing and enterprise is growing faster, and this gap is even wider on a pre-GAAP basis. In 2020, consumer grew faster and the enterprise sales growth was quite slow. But in 2021, the situation was reversed. I'm sure that Eva will talk about this in her presentation later on. Cloud and the security services, we have been investing in these businesses. And now we're beginning to see the benefit of those investments.  With regards to new disclosure for service business, we are using new metrics. As you can see on this slide, these are the definitions of these new metrics. I have already explained this in the previous quarter. But let's look at the results. Active customer count for subscription growth is constant. And for perpetual, it is declining. Perpetual customers are shifting to subscription. And we are actually focusing on the subscription business. We are focused on growing this part of the business. This is a situation with staff. And the reason we showed you the slide earlier is that cloud expense is growing, allow me to explain how is the cloud infrastructure being used. This is how SaaS deployed instance growth.  As you can see, there's a very solid growth here. And in some of the following slides, we're disclosing the net sales for this as well. So within this slide, you can maybe see the revenue that is coming -- actually coming from the customer. And we believe that this slide is probably easier for the analysts. So we may do away with the previous slide. So the quarterly ARR, subscription business on annualized basis is shown here, $550 million, 30% and this bar chart growth rate, as you can see in 2021 -- from the fourth quarter, the growth rate has accelerated compared to the previous quarters.  And the factor behind this is perpetual licenses. Yes, we have some of those. And the higher growth rate subscriber business ratio is increasing, which means that it's driving the enterprise business. And I think you can see the situation on this slide.  This is the share by region. It hasn't really changed very much, but APAC, EMEA is showing a slightly higher growth rate. And bigger share as well. This is a pre-GAAP number. Again, without the exchange rate impact, all regions are growing. North America by 6% and in and Europe are growing very fast. And as I mentioned, the consumer and the enterprise breakdown is shown on this slide. Without the exchange rate impact, enterprise has grown 14% extremely strong growth. There are some big deals, big projects, but also subscription business is growing constantly as well.  Pre-GAAP revenue is growing. But why is the sales after the accounting process not growing? As we get closer to the end of December, we received some bigger deals over several years, for example, which means that we have to basically distribute the revenue across that duration. So most of them are not really counted, posted in the fourth quarter. And this is why this is happening, and the slide explains where that revenue went. I will skip the slide and move on to the expenses.  The cost, we think this is going up. There are 3 major factors. Yellow is headcount, salary and benefits. Pre-GAAP sales, if it grows, then variable compensation component increases, weaker yen is also a factor and also cloud as well. SaaS business growth is linked to this.  For this purple portion, you will see the outside services. And 1 reason for this is in the fourth quarter compared to 1 year ago, there is a difference. And also here in Japan, there is a difference between the overseas situation. Overseas, there are more and more business trips increasing. So a more normal situation is returning overseas. And we believe that in this area, we will see more growth this year. And as for on a pre-GAAP basis, we see 30% last year and 35% this year for pre-GAAP versus total costs. And then as for headcount, there's remote work situation. And we have forecast for this year as well. But we will be recruiting more this year. So this may seem to have a higher growth.  As for the net income, we may see that the operating income has gone down, but we have a good situation with net income. And there has been some revised content on this.  And looking at the highlights of Q4. We have the highest ever net revenues and net income. And meanwhile, highest growth of pre-GAAP, JPY 55 billion highest growth since we started the disclosures. And also in all regions, we are seeing very healthy growth. As for the lowlights, in terms of the costs, we're seeing double digit growth in people and cloud costs. But we don't think that this is a negative thing. As long as the results are keeping up -- as for Japan, in regard retail business still remains weak.  In the case of Japan, we are seeing growth in the sales -- but otherwise, it remains flat. So there has to be more activity in the retail side.  And this is the consolidated results. We are seeing this growth in net sales skipping this slide and going on to the next one. We have been looking at the net revenue since 2005. And if we look at this on a constant currency basis, you can see that there was a time when things were flat, we had not yet consolidated our activities in regard to ATP, but then there has been growth after that.  Also, network, security and cloud security started with Trend Micro. And so this has led to the growth and we see similar results in this year as well. As for the dividends, as already mentioned, for open at too, right? It's a 27% sales increase on a year-over-year basis. We have been able to increase the net sales. And we believe that for that, we have a high payout ratio. As for the compensation for shareholders, if you can see that the net income from 2012 to 2021 is in the from over 80%. And we have had a buyback, and we have the dividend payout for this year. So we have a very high return to shareholders. And we are also carrying out a buyback program of our shares -- as for this year, for the forecast assumptions, there will be a presentation by Eva on this, but at any rate, we'll be moving forward with our strategy, and we'll further increase our momentum so that we can improve our customer reach.  And also, when we look at the situation of growth, we will be looking at 5- to 10-year-over-year growth and Europe to increase by 20% -- as for Asia, there were some major deals in 2021. So -- whether we will have such a large-scale deal in Asia in 2022, it may be difficult, but we'll see. And also, as I already mentioned, we see improved situation in business travel and so on, cost may increase, and we believe that it will be better than last year. We believe that there will be greater growth.  And the decrease in net income the -- we believe that the decrease in net income is due to the absence of the extraordinary income and then the estimated exchange rate is like this. And this is the projection which we have. We are looking at once again, double-digit growth for net sales. And you may be wondering why the income is down, because there are opportunities.  So we want to move forward with investments. Now the investors may be wondering why we would have cash on hand. And so therefore, we will be investing our cash and this is what Habara-san is proud of. But I don't believe that there will be hardly any impact because of the new revenue recognition standard. And if you have any questions on this, please ask Mr. Habara, and that's all from my side. Thank you very much.
Eva Chen: I think for a lot of business in person, 2021 is probably a year that people want to forget and can't wait to say goodbye to 2021. But for Trend Micro, this is a major milestone year for Trend Micro, and I think we will all at Trend Micro, remember and celebrate for this 2021 year because this is the year that we embrace and complete our transformation from a product company to a platform company.  Trend Micro's strategy has always been very consistent. We record a formula x equal to i plus u minus t. X is customers' cybersecurity problem. And we look at this infrastructure change user behavior change and the cyber threat change. That is how we execute and design our strategies. And that's how in the past 20 years also, we continuously come up with a lot of innovation and being the industry first to introduce solution for customers in cybersecurity.  But in 2021, we embraced 7 X, which is a major transformation task that we decided to do. Those 7 X, the first 2 SaaS first, and XDR adoption. SaaS, we need to transform our customer from using our on-premise solution to SaaS solution, and that is our first priority. Also, we introduced XDR extended detection and response solution, and we like our customers to adopt this in addition to our traditional just protection product and we completed these 2 tasks, mainly first in Cloud One, all 7 services or cloud native platform, and we enhanced our trial and cloud risk assessment.  And on our new platform, Vision One, we implemented hundreds of new features and enhancements and we introduced a lot of new apps and in-app messaging, creating this platform for customers to easy on board. So that was how we accomplished the first 2 X.  And then we also realize that our global business, our global customer has a lot of data solvency and global individual countries, compliance issue. And therefore, we set up to address these geopolitical concerns. We introduced and expand our data center in 9 locations. And also, we acquire and obtain a lot of new certification and online trust center so that we can fulfill each of the different regional geographical needs.  And the fourth is we get into the zero trust and secure as a service edge, which is the network security part, where we introduce the zero trust risking side, secure web gateway, cloud app security and also a zero trust network assets. This completes our total solution of Network One. And then because we realized that our customer now needs a lot of services, especially when they have cyber threat incidents. And therefore, we formalize the package of customer support from onboarding to instance response. It's not just like on request, the instance respond, we actually make it into a package so that we can provide our customers with instant response together with our service.  And then we did not get our small business and our consumer. In our small business area, we introduced our worry-free XDR and increase our MSP demand service provider recruitment and expand our small business offering to do this MSP partner. And in the consumer business, we decided that we want to expand our brand name and our coverage in U.S. where the consumer business, and we introduced the new solution, which is anti-scam, anti-scan consumer offering and increased a lot of awareness in our U.S. market. So those are the 7 X that we completed in 2021, and those 7 X actually preparing us for the next decade, what is next for Trend Micro. First, let's look at -- in 2022, we believe that digital transformation will continue in our customers' environment. The cloud-native application adoption will continue to increase. And the customers are going to -- because of this work from home and study from home, customers will have increased exposure with permanent remote workforce. And therefore, this workforce security need to be extended. And also because of this transformation, digital transformation, there's more and more IoT or OT devices, that is going to be on the digital platform and therefore, that introduced all of this dream together means that there will be widened attack surface in customers [indiscernible].  What is attack surface, is simple way is all the possible entry points for unauthorized access into customers' environment, any system. And you can see this possible entry way is composed with the X horizontal line is all the cyber assets that customers have, such as user account or domain, subdomains or cloud workload or IoT devices. These are the cyber assets. And on the vertical line among all these cyber assets, all the possible vulnerability that will be introduced and possible for the hackers, the bad guys to take advantage and attack.  So this attack surface for customers' environment is getting more complicated and massive and constantly evolving. That's why we predict all of this attackers will exploit this broadened attack surface. We're already seeing that in prior 2021 that attack are shifting left, means that they introduce the attack through the supply chain, such as we see that solar wing or the [indiscernible] or the recent one, the Log4j, these are all introduced through a software components and attack the customers' environment. So attacks with shift that targeting the devops of tools and pipeline and attack more easily.  Also, ransomware as more and more digital transformation and the critical infrastructure are on the digital platform, the ransomware gets more popular because there's more at stake for the user, the customers. Their critical infrastructure are relying on this digital platform. And therefore, we predict that ransomware will be even more prominent and more targeted. And also the speed of using the vulnerability is cover the zero-day vulnerability by the bad guys and [indiscernible] will be on record time. It will be very quick. We see a vulnerability and hackers utilizing it.  And that's why I think partly thanks to all of these ransomware, we see all these damage caused by cyber attacks with all these negative consequence that the level [indiscernible] starting to realize and understand the risk of cyber security.  However, 82% of the IT decision makers have failed to pressure to downplay the severity of the cyber risk to the board or to the management level. Why? Because -- it is very hard for them, for the IT people to explain in a business sense, how to report and easily explain the business breach caused by the cyber threats.  And why is that so difficult to understand and manage or this risk? Because for the IT for the security expert, there's just to too many alerts and there's limited AWP of the overall infrastructure and too many tools and vendors and therefore, that comprise pressure and the limited resources they have, make it very difficult for the security expert to present and that the business people knows where and how to invest in cyber security.  And that is why Trend Micro, we believe with our transformation. Now we can provide attack surface risk management life cycle provide overall visibility for customers' attack surface for them to discover the attack surface and/or assess and prioritize all this risk so that they can put in the best investment to mitigate the risk. That's continuous visibility and assessment.  For Trend Micro, in the past, say, 30 years, we focus on only the last part, which is we provide security control to mitigate the risk and therefore, customers mostly only see Trend Micro's value when there's attack happen. But now with this platform approach. Our solution, no matter is Cloud One that covers the cloud infrastructure. Network One, cover the network infrastructure or Workforce One that covers the user workforce infrastructure. They all provide a complete view of discover attack surface, assess the risk and then mitigate risk.  That means that Trend Micro are expanding our business and earlier involvement with customers. Not only customer will be able to see Trend Micro's value even before they get attacked. They were able to find Trend Micro's value by providing them the attack surface visibility, prioritize the risk and provide the security control. So in this chart, you can see there's 3 phases where Trend Micro can provide value. And there's 3 major infrastructure area where Trend Micro provide this solution.  So three times three actually, Trend Micro will have 9 value point that we can introduce and let customers starting to see Trend Micro's value that we can provide. And after they get onto this cybersecurity platform. We have another 9 plus 1, 10 ways to expand no matter which value point from visibility on the cloud, they can explain to the total protection life cycle, risk management cycle for the whole cloud or they can expand to cover all the network and work workforce. Plus we offer the Service One, which is our overall service for the instant response and complete monitoring for this cyber risk.  So this much -- 9 value point that we can lend customer and there's 9 plus 1 way that we can expand once they were introduced to this platform. And I'd like to use this example. In the past 2 months, there's 2 major vulnerability that being introduced. And creating a lot of headache for customers. Not because they were really attacked. But because both Log4j or later on Samba, those 2 vulnerability, customers' biggest problem is do I have this vulnerability? Because it's their components that is embedded in the application and deploy it in everywhere in their infrastructure. So the first thing they need to know is to I have this vulnerability in my environment? And Trend Micro's Vision One provides very quick response for them to see. They can assess -- do I have this Log4j in my application or my infrastructure, how risky they are and how do I provide so that I can do the patches. And within just 1 month, we have more than 6,000 customers introduced into our first on board onto our Vision One, and they complete the assessment and try our new solution.  Just during the Chinese New Year, there's another one, a smaller 1 is limited to only Linux [indiscernible] system. But we think this sandbar, the Linux system vulnerability. We also find new customer that was using the same value, which is visibility of where this vulnerability is and assess the risk, attack risk about this risk. So I think these are the implementation of the attack surface risk management life cycle. And what is another better way, I think the best way to explain the value to customers is customers how do they say. ClubCorp is a world leader in private clubs spend management. And they say, Trend Micro enable me to reduce my breach risk across ClubCorp almost 30% of my cyber insurance premiums.  The insurance is a risk mitigation is a way of doing risk assessment and risk mitigation. Because of our -- the visibility and the risk assessment that we can provide to ClubCorp, they were able to reduce their cyber insurance in them. That's a new value that Trend Micro is providing.  Another customer, Panasonic. They say the Vision One platform connects all the data from multiple applications together and enabling the cybersecurity team to take action and respond quickly to all the events without having to jump internal operational and technology borders.  I think this platform approach Trend Micro own, this approach with enabling our customers have a holistic view of their cybersecurity status, provide visibility of the attack surface. Prioritize, assess and prioritize the risk in each of the point and finally makes effective investment to do the risk mitigation with the security control. That's how we -- Trend Micro are very excited to provide its complete cybersecurity risk management platform for our customers and why we are very, I should say, optimistic and excited going into 2022, and forward, we believe this is the right strategy and so a very important problem for our customers. Thank you.
Akihiko Omikawa: Yes. Now I will be carrying out the presentation on the business situation of the fourth quarter. Looking back at last year, these are the aspects that we were involved with. I will skip the details here. As for the commercial area, as we have the highlights. First of all, and -- we have in the Cloud One area, we have been able to achieve growth in the security services in Cloud One. And we have been able to increase on a year-over-year basis by 52%. And also looking at the third point -- there are 6 functions we have in Cloud One. And in regard to the new services in 2021, we have new customers. These are the highlights.  And the second point is over here. We have seen steady growth. And we are increasing by 20-some percent each quarter in this area, and there is a steady growth in the number of customers so that on a year-over-year basis, gross sales has increased by 128%. So we have the steady growth in the SaaS environment.  However, there's the lowlights. Now with the digital transformation, there is accelerated cloud-native approach. And it's not just in the IT area but also in the OT area. And what we had been good at was in the IT area. And so we are steadily increasing our capabilities in OT, but still there is much that we have to do. There are still some areas where our efforts have been insufficient. We keenly feel this and so therefore, we will have to work on this.  And also in the area of EDR we have moved forward, but there is the new area of XDR, and it's necessary to achieve wider penetration here. And with a new solution model, it is necessary for us to return to a leadership position in the market. As for the consumer area, for the consumer business, GSK, we have looked at the PoS data, and we continue to maintain a #1 share for 14 years consecutively in PC software security and there had been the decrease in PC shipments and so on, so that the retail business had not been doing that well. But we have been able to cover up for that by covering the mobile stores, and we are seeing steady growth here so that even this year, we have increased our business by over JPY 6 billion.  And on a global basis, as already explained, we have new growth in the United States. And also in the Microsoft stores, our products are present. Meanwhile, the lowlight is the fact that there is a decreased number of shipments due to the semiconductor shortage in the area of personal computers. IoT, these are the things that we announced last year. [indiscernible] 5G and so on. In Q4, for OT, government consultant and users, actually, our client were involved in specific discussion about this. And these types of engagements are increasing, we want to be definitely a part of this. And then this is TXOne Networks CEO, Terence Liu. And there is a global industry body called SEMI for semiconductor manufacturing. And he's a member of SEMI Taiwan. He gave a keynote speech talking about the importance of security because of increased cyber attacks in semiconductor manufacturing plants. And TXOne Networks, in terms of security for semiconductor manufacturing, is really leading the industry, as you can see in this particular example.  And on the next page, you can see the OT security edge consortium manufacturing equipment made for the factories and the members of those manufacturers are trying to standardize in this industry. And they actually invited to Trend Micro to be a part of this as a security adviser. So we are involved. We are a member of this organization.  And the Edgecross Consortium's certification now is now includes products. And on the right-hand side, we can see what's happening in automotive area. In the automotive industry, security is now really important and J-Auto-ISAC in 2021 was established, and Trend Micro is the only securities member in this organization. And for J-Auto-ISAC, we are providing a SOC to manage vulnerability after the security is implemented. So we did some implementation and also threat information, confirmation on board in the car.  This is a slide for IoT for 5G. Last December, 5G, local 5G Trend Micro mobile network security first order was received. And this is not Q4, but on the -- this was announced by NTT Com in February. So I just want to say this. And they developed eSIM for security, and it uses our security. So that the SIM can be put into these different devices for security. And this is actually eSIM made by Trend Micro on the right-hand side. And on top of that, NTT Communication is providing their own eSIM with our solution, and they're selling this as the NTT Com's product solution. So I just wanted to update you on the progress.  Cybersecurity innovation as a [indiscernible] center. Nagasaki prefecture police, in November, asked us to be a technical adviser for cybersecurity. So Fukuoka, Osaka [indiscernible], Aichi, Hokkaido, all of these are police teams now include our researcher as the security adviser. And there's a lot of mobile e-mails, and we have actually identified a crime organization behind this, and we have received a little thank you for -- from National Police Agency.  And as a transparency center, we have received an award from JC3 for identifying a lot of vulnerability information. And identifying vulnerability, if you don't understand that, you cannot really be trusted as a security partner. For supply chain, transparency is important, and we have to provide transparent information. Zero Day Initiative, in this, we have identified vulnerabilities of our own, and we provide this information immediately.  And this slide, we have received this award from JP Swift. For 2021 for the whole year, in the commercial business, as was mentioned, we have Trend Micro Vision One and Cloud One. We now have a full portfolio. And in 2022, now we have a portfolio, we want to accelerate this business. And for SMB, we are seeing growth due to SaaS. We can expect further growth in '22. And SNS and free tools for consumer, we are increasing the customer contact points and there's the online food. So we want to deliver and strengthen in this area, too.  A few weeks ago, NEC Guta actually started implementing our security. And these routers are now available in the stores, linking the users to our services. And this is a new revenue share model, new type of business model for us.  And this is the last page. And in OT, we have had a lot of incidents in FY '21. And as a result, on a global basis, there was a growth of 172% year-on-year. And in the end, globally, let me check. JPY 2.5 billion or higher OT revenue has been posted. For [indiscernible], as you can see, WP 29 implemented from April. So all the new vehicles need to have cybersecurity. Otherwise, new models cannot be launched in the market. And that is why security has been a big focus in the automotive industry last year.  For local 5G, full-scale order has come in, and we have a plan for order at the global level. Including smart city, we are doing POCs as well. So these are already getting started. We also have some appendix information, including evaluation by third party for your reference. Thank you. That's all from me.
Q - Hideaki Tanaka: My name is Tanaka of Mitsubishi UFJ. Can you hear me? There are 2 points that I'd like to ask about. First of all, in regard to Europe, the pre-GAAP numbers are quite high. And including the other regions as well, what is the situation there? And also from here onwards, we've already gotten the guidance for this fiscal year. But will we see this trend continuing. And what about in comparison with the competition? What is the situation there?
Akihiko Omikawa: First of all, in regard to Europe, if we look at the overall region sales, because there is no consumer sales, so that is impacting thing. And another thing, there's SaaS and also major deals. We've been able to get such deals in Europe, and I think that we can look forward to this from here onwards. It's difficult to make comparisons. It depends on where you're comparing. And when it comes to competition, if you look at the regional differences, we try to keep our customers, and I believe that we have been doing our job there in Europe.
Hideaki Tanaka: In Europe, it seems that the large companies are doing quite well. Is there a very good environment in Europe that's causing this?
Akihiko Omikawa: I think that for IT, it's favorable in the terms of infrastructure business. And in Europe, there is a lot of information management regulations that are stringent. And so therefore, there are much business as a result of that.
Hideaki Tanaka: The second point, you mentioned about the cloud expenses for Q4. And you say that the SaaS instances are increasing, but it seems that the cloud costs are quite high. Compared to Q3, Q4 seems to be high. What has happened to increase the cost in Q4? You mentioned about -- that this will become much less dramatic, but what is the situation?
Akihiko Omikawa: Overall, there is the increase in the cloud business. Cloud One is being used. We want to get our customers using Cloud One, and we hope that this will lead to sales. And we mentioned that things will get looser now. We have thought about what needs to be done for increasing efficiency. And also we're looking at the resources and how to increase utilization. So I believe that things are in place.
Eva Chen: Excuse me. I think for the Q4, cost, cloud cost, we established a lot of new data center, as I explained in my presentation, and we complete that in Q4. The initial setup cost is in there in Q4. And -- but after we set up, of course, the per unit cost were going down. So Q4 has increased, partly is because of those new data center that we established for Cloud One.
Hideaki Tanaka: In that sense, for the fourth quarter, it may mean that this stands out. And if we think about the quarterly numbers, it's not going to reach the levels of Q4 that easily. So that's why things will get looser next year. Is that the image?
Akihiko Omikawa: Well, yes. But we'll increase efficiency.
Hideaki Tanaka: And then the initial cost for the data center, when we look at 2, 3 years ahead, is that likely to occur again? Or have you been able to cover the initial cost?
Akihiko Omikawa: It depends on the demand. Recently, when it comes to data management, there is a stringent countermeasures that must be taken to prevent data from going out of the borders. And so there are expenses there. But on the other hand, -- it's also a lot of government activities where we can get major deals.
Satoru Kikuchi: SMBC Nikko, my name is Kikuchi. And I have 2 questions. First of all, Mr. Tanaka has asked the question. I want to ask a follow-up question.  For this fiscal year, total cost increased by JPY 20 billion -- JPY 20.2 billion and exchange impact is also there. So maybe this is actually 80% or 90% of this number. But still, this is an increase of close to JPY 10 billion. Can you talk about the breakdown? And maybe you don't have a specific breakdown, but can you give me an idea of how this number breaks down?  And for cloud, just for clarification, JPY 5.8 billion in the fourth quarter. If we multiply this by 4, by the number of quarters, that would be approximately JPY 23 billion. And if there is a slight growth then, JPY 25 billion or JPY 26 billion, that means this is the growth on its own by JPY 10 billion, $10 billion. So this is a possibility.  But in JPY 5.8 billion, there are some temporary expenses. So we should not really multiply this by 4, that's what you said. Is it a slight growth over the full year or slight growth based on the fourth quarter number? Can you please clarify? So JPY 20 billion cost increase was the breakdown and how does it relate to cloud, can you please explain?
Mahendra Negi: Fourth quarter cloud cost, if you multiply that 4, that will be too high. So there's going to be a slight increase, but the JPY 10 billion increase by cloud alone, that's not the case. And then the people's cost will increase. We will be hiring. And also in the security industry, it's very hot. Competition, competitors are really recruiting actively. So we have to think about the compensation in order to meet the competitiveness in the market. So maybe there's going to be a slight increase in the expenditure. And the operating activities in the past was very close to 0, but this is going to increase. So these are the 3 factors that you should consider.  And percentage breakdown, well, we do think about that, but we don't disclose that detailed information.
Satoru Kikuchi: I see. JPY 20 billion is a big increase. And the cloud cost increases and maybe that's what's happening recently. But costs increase at a level we have not seen before. Is that happening in this plan? Is that what is happening? Otherwise, you don't end up with this kind of number, I don't think.
Mahendra Negi: Well, revenue growth is also at a different level. When we have a new customer acquisition, we have to spend more money. And once we have a customer, then ever showed you the risk life cycle circle. And if the customer is a part of that, it doesn't cost us a lot to run this cycle. So maybe we will see the result in 2023.
Unidentified Company Representative: I would like to add. Tanaka-san asked us question, too. And specific to cloud, cost you may be concerned about this cost increase. I would like to add some explanation. For this year's guidance, the biggest increase was seen, as Negi-san mentioned, head count costs or the salaries. And this is approximately the majority of the increase. Well, pre-GAAP grew very fast in Q4, and I think this is the evidence to that as well. Our execution is supported by the customers, and we're beginning to see better performance. So we're more confident, and we also believe that now is the right time to invest. And we are increasing head count. That is the biggest factor behind this.  And secondly, as Omikawa-san mentioned earlier, Japanese consumer mobile channel is growing rapidly right now. And personally, my impression is it may grow even further. And in FY '22, we believe that this segment will continuously grow, which means that outsourcing cost relative to this business will increase. And that's another factor, second big factor behind the cost increase in '22.  Another one is marketing. As Negi-san mentioned, with corona and after corona, activity level will increase, number of events will increase. So our marketing costs will also increase accordingly. So those are the 3 factors.  And then accounting-wise, I should explain that we are developing a lot of SaaS products recently and software asset, that's how it's costed. And then it's depreciated and is expensed. So in 2021, the first part is quite light. So it was on the software asset. And the PL impact was growing relatively slowly. But now this cycle is complete. And in '21, we benefited from that. But in 2022, this will level out. So software depreciation will increase. and that's about JPY 2 billion to JPY 3 billion. This is the accounting factor. So marketing costs will increase about the same -- by about the same amount.  Maybe this is a small factor, but goodwill amortization of the TippingPoint. In '21, we had 2 months of this. So that's about JPY 1.1 billion. And again, this will be disappearing. So therefore, the cost will increase. So mostly it's salaries and bonuses. Well, cloud cost was increasing a lot and in 2021, when we provided the forecast, we said the head count costs will increase. And cloud cost was not really explained that much, but it's a slow growth in '21 and '22. The growth is not that marked. That's all. Thank you.
Satoru Kikuchi: My second question is recap is quite strong. So our top line plan is also aggressive. I can see where this is coming from. But I want to understand U.S. dollar-based revenue cost gap. If we look at this, it was flat for the term that was finished. In the fourth quarter, it was also flat and for the enterprise business as well. So it's not really impacting the post-GAAP numbers. That's my impression. For pre-GAAP, you said there is impact of big deals. And post-GAAP, net sales is quite strong this time around. Do you think the same situation or the situation will already recur in the first and second quarters? That's the question. And the pre-GAAP versus post-GAAP, difference, for example, in the United States. When do you see the growth in post-GAAP numbers? That is my question about top line.  And also enterprise business in Japan, net sales is not growing in this segment. So North America versus Japan, post-GAAP number. Can you please comment on this?
Unidentified Company Representative: Habara-san, can you take this?
Koichi Habara: Me?
Unidentified Company Representative: Post-GAAP expert.
Koichi Habara: In terms of quarterly trend, well, we make the plan for the whole year. So the distribution allocation is difficult to understand maybe. But as Negi-san mentioned in his presentation, there is deferred revenue. Deferred revenue balance is going up in Q4, number we have never seen before. And on a quarter-to-quarter basis, I have never seen such a big growth before.  Considering that, contribution of our deferred revenue, well, Q1, Q2, we expect much coming from there as well. So based on that, top line growth is going to be higher than your expectation. And the profit is probably lower because we are making further investments. So the profit is going to decline, but revenue is very strong. This is not an optimistic scenario. This is due to the increase in the balance in deferred revenue. And you can see that this is a reasonable expectation. So the outlook for this fiscal year...
Satoru Kikuchi: No, it's okay. Maybe we can take this off-line some time.
Mitsunobu Tsuruo: My name is Mitsunobu from Citi. In the number of subscribers for SaaS business or ARPU, but what is the churn rate? If you could give some idea of the breakdown of the churn rate.
Unidentified Company Representative: When we talk about subscripters, subscribers, we disclose the number of subscribers. As for ARPU, there's a difference in the scale of the customers. So perhaps that it would be meaningless to talk in terms of ARPU.  And as for churn rate, we disclosed the details. But before disclosure, we have to define what a churn is. And internally, we're studying what defines churn. Once we do that, then we will disclose this.
Mitsunobu Tsuruo: So this will be disclosed. The second is on a long-term basis, this is like the question raised by Mr. Kikuchi. And in the current guidance, operating income ratio is going to be going down, though net sales goes up and subscription sales is making a major contribution. And for the income ratio, when do you think things will stabilize? In how many years will it be? Is it going to be in the near future? Or will it take more time for stability to be observed?
Unidentified Company Representative: It depends on investment opportunities. If there is a loss-generating company that has high market cap, why is that the case? That's because of growth. And in order to increase net sales, we have to invest. And so therefore, we want to have stable income, but we also want to pay dividends. And so therefore, it's a matter of to what extent we'll move forward with investments. And we will continue to monitor the situation and disclose the details as we move forward. So we'll have the balanced approach between profits and growth.  One point that I must add. You've talked about the quarterly income ratios, and we believe that this situation will continue for some time. And as we've explained from before, for Q2 and Q4, it's quite difficult to generate profits. That's the structure of our business. So in the first half and the second half, there is SaaS metrics and a variety of metrics that are looked at for paying out bonuses. And we also have reserves so that something may be paid as a lump sum in the first -- in a quarter.  And there's -- the bonuses are looked at from the first half and the second half basis, and that may undermine profits. But as already mentioned, when it comes to the pre-GAAP numbers, when this is growing, there are commissions that are paid. Meanwhile, net sales is subject to deferred revenues. And so the balance of this becomes quite meticulous. And so there may be costs that are generated, but then especially this phenomenon occurs in Q4 and the structure will not change. So it may be the Q4, the income ratio seems to be going down, whereas it improved in the first quarter. But as already mentioned, if you look at this on an annual basis, you will see that for 2021 and 2022, the income ratios haven't changed. So on an annual basis, we do not see that great a change. But on a quarterly basis, then we have this characteristic.
Eva Chen: I'd like to add just one comment about the cost side. I think maybe not in Japan, but outside of Japan, especially in North America, the inflation rate is expected to be high and the cost of living is really increasing. And therefore, our people cost, I mean, just even for humanity reason, we need to pay more to our employees to retain this talent and recruit new talents. So I think like [indiscernible] mentioned, our major investments and cost increase is in the salary and people cost, and partly is just the whole inflation concern in all these countries.
Yusuke Hori: I'm Hori, Mizuho Securities. I have two questions. First question is about pre-GAAP, Q4, Japan and North America. How can you explain these numbers? Can you please tell us why we have these numbers? Pre-GAAP growth is quite strong in Japan. But public, I think you had the absence of some public deals and maybe that is ending and enterprise is doing better? Or maybe for mobile or consumer, maybe there was a special factor, which made this business quite strong. Can you please comment about this?  In North America, double-digit growth was seen in 2 consecutive quarters. But now excluding the exchange rate, I think it's only 7% or 6% growth. Is it decelerating falling down? It's beyond 100 million so maybe we don't have to worry about this, but have you seen any changes in the trend in the North American market?
Unidentified Company Representative: I would like to explain the North American situation, and Omikawa-san will talk about Japan. In North America, 6% to 7% growth on a dollar-denominated basis, we expect this growth to continue. And compared to the other regions, in North America, competition is more stiff and our sales is relatively small. Our competition, it's a home country, home base, and they have huge sales force. So these are the 2 factors that we have to consider. But we expect further growth in North American market...
Akihiko Omikawa: Yes. Pre-GAAP number in Japan. In the consumer business, in FY '21, we had a record sales in Consumer business. And yes, the competition was very tough. And the PC shipment was weaker, and there was a weak business in the storefront, but still, there is a big momentum in mobile channel, DOCOMO shops. For example, we are now seeing a huge growth in the new business model. And consumer pre-GAAP for Q4 and also for full year, we have the highest number in record.  Looking at the commercial business. For Q4, well, the government business is still going very smoothly, although we didn't have many big deals. But in the normal enterprise segment, we are seeing double-digit growth in the number of new users. So in Japan, we are actually increasing the number of accounts in the commercial business.  And in the commercial -- in the consumer business, it's basically flat, but the retail business is suffering, and we had to spend some money, but we grew the mobile channel. And in 2021, in 2022, we expect further growth in the mobile channel. As Habara-san mentioned Well, maybe I apologize to Habara-san that the group business in mobile channel will grow in '22 even further.
Yusuke Hori: Negi-san, you said that the 6% to 7% growth, below 10% growth, is what we should expect in terms of pre-GAAP performance in North America and this is the range that you would feel comfortable with.
Mahendra Negi: Well, I'm talking about for this fiscal year and for annualized basis. So it may go up or down depending on the quarter.
Yusuke Hori: Understand. My second question. Well, what is the reason for share buyback? Can you please give me a detailed explanation? So capital strategy policy should be agile. That's what you said. So gain on sales in China was, of course, one-off for the previous year. And the guidance for net income is down. So I wonder, is that what you wanted to take care of? Or what is the meaning for you of this share buyback? Can you please give us some explanation.
Mahendra Negi: For shareholder's return, dividend is the highest priority. But as I said today, sometimes we do a share buyback on top of providing dividends. So we buy back our own shares through the market. We do that sometimes, and we have decided that we should do it again. That's all.  Compared to the total amount of the dividends paid, it's not such a big buyback. So it doesn't mean a big deal. So the dividends and the share buyback, if you combine the 2 from the shareholders' perspective, it's quite clear that almost 100% of the cash of the company is being returned, paid to the shareholder.
Yusuke Hori: Oh, I see. So you're paying attention to the total payout. That's what's important to you.
Mahendra Negi: Yes. We don't guarantee 100%, but our concept is that if there is cash and the company should be paid to the shareholders. If you just do acquisitions and don't pay dividends, then you are basically using the cash flow for the shareholders of other companies. We don't do that.
Unidentified Analyst: My name is Watanabe of Mitsui Sumitomo Business Assets [ph]. Now you mentioned about increased expenses, and you talked about the people cost. At the beginning of the fiscal year, it was a plan of 400%. And in third quarter, you mentioned about recruitment that will be taking place. And for this fiscal year, we're seeing this increase. And what is the plan to increase? What would be the increase in head count that is planned?  And also for recruiting fees and the track record, you could not hire 350 that you had planned. But what about the churn rate? Or what was the situation of mid-career hires? And if you could touch upon those aspects.
Unidentified Company Representative: By region, there are some differences. So it's not meaningful to come up with the average numbers. But the reason why it was not the high churn rate, but rather, there was a lack of recruitments that were carried out. And there are 400 open positions. So there will be 400 persons have to be added, but it's not that easy to find those people. And also, the churn rate is not zero, so we have to take that into consideration.  And at any rate, we want a net increase of several hundred people, but we're not going to hire just anybody. So if we're able to hire, that will increase the compensation cost. But currently, we have 400 open positions.
Unidentified Analyst: And so you have planned for expenses for 400 persons to be added?
Unidentified Company Representative: Yes. And there's -- plus Alpha. And so there's -- I see then. Thank you. [Abrupt End]